Operator: [Foreign Language]. Good morning. My name is Julie, and I will be your conference operator today. At this time, I would like to welcome everyone to the Cascades Third Quarter 2019 Financial Results Conference Call. All lines are currently in a listen-only mode. After the speaker’s remarks, there will be a question-and-answer session. I will now turn the call over to Jennifer Aitken, Director of Investor Relations for Cascades. Ms. Aitken, you may begin your conference.
Jennifer Aitken: Thank you, Operator. Good morning, everyone, and thank you for joining our third quarter 2019 financial results conference call. We will begin with an overview of our operational and financial results, followed by some concluding remarks, after which we will begin the question period. The speakers on today’s call will be Mario Plourde, President and CEO; and Allan Hogg, CFO. Also joining us on today’s call, are the Presidents of Cascades business segments, namely Charles Malo, President and COO of the Containerboard Packaging Group; Luc Langevin, President and COO of the Specialty Products Group; and Jean-David Tardif, President and COO of the Tissue Papers Group. They will all be available for the question-and-answer period at the end of the call. Before I turn the call over to my colleagues, I would like to highlight that Reno De Medici’s interim report released earlier this week, can be viewed on Reno’s website. I would also note that certain statements made during this call, will discuss historical and forward-looking matters. The accuracy of these statements is subject to risk factors that can have a material impact on actual results. These risks are listed in our public filings. These statements, the investor presentation, and the press release, also include data that are not measures of performance under IFRS. Please refer to our accompanying Q3 2019 investor presentation for details. This presentation, along with our second quarter press release, can be found in the Investors section of our website. If you have any questions, please feel free to call us after the session. I will now turn the call over to our CEO, Mario.
Mario Plourde: Thank you, Jennifer, and good morning, everyone. We are pleased with our overall operational performance and financial results in the third quarter. We generated another quarter of adjusted EBITDA that reflected good execution in all four of our business segments. Our tissue segment posted stronger results due to the successes we are generating from our turnaround initiatives, while results in Containerboard European Boxboard continued to be solid, notwithstanding some market demand headwinds and a slight pricing erosion. Net earnings for the quarter were $70 million, or $0.74 per share, including the $52 million one-time gain to reflect the low purchase price of the Orchids asset relative to their fair value. This compared to $0.33 in the previous quarter, and $0.38 last year. On an adjusted basis, we generated $0.30 per share in the third quarter. This compare to the earnings per share of $0.28 in the second quarter and $0.40 per share in the third quarter of 2018. Adjusted EBITDA of $161 million, increased 18% over last year, and 3% when compared to the second quarter. Our adjusted EBITDA margin reached 12.7% in Q3. In addition to our operational initiative, results were also favorably impacted by lower raw material cost. The average index price for OCC brown paper grades during the quarter, was down 51% year over year, and 18% compared to Q2. The average Q3 price for white recycled paper grades, which we mainly use in our tissue activity, decreased by 47%, compared to prior year levels, and 24% from Q2. On the virgin pulp side, hardwood and softwood pulp prices, decreased both sequentially and year over year. As highlighted on Slide 6 in our presentation, the prices of all these materials continued their downward trends, which is positive for our outlook. OCC pricing has remained relatively low over recent months. I will now briefly discuss the third quarter performance for each of our business segments, which are highlighted on Page 8 through 13 of the presentation. The Containerboard segment generated third quarter adjusted EBITDA of $180 million, which is a 4% increase sequentially, and a 1% increase year over year. During the quarter, we had unplanned maintenance downtime at the Greenpac Mill, which we estimate negatively impacted EBITDA by $3 million. Despite this, and this spike a slightly less favorable overall industry environment, margin remained solid at 24.9% in the quarter. This compared with margins of 24.5 in Q2 and 24.7 last year. We are pleased with our sequential performance, which was largely driven by higher volume and lower transportation and operating costs. These benefits were partially offset by the lower average selling price, and the impact of a less favorable exchange rate during the period. Our Q3 operating rate was 94%, up 3% sequentially, with paper shipments increasing 9,000 tons, reflecting seasonal trends. Including sales to associated companies, our integration rate decreased very slightly to 71% in the third quarter, from 72% in Q2. Shipments of converted product increased 3% sequentially in millions of square feet. These outperformed the overall 1% increase for both the Canadian and the US market. In the third quarter, we took approximately 11,000 tons of maintenance downtime, and 3,000 tons of market related downtime. On Slide 8, we have updated our downtime plan for 2019, which we expect to take approximately 16,000 tons of maintenance downtime in the fourth quarter. Moving now to the tissue paper, results continue to show positive momentum, and highlight the growing benefits from ongoing operational and productivity improvement initiatives. In addition, lower raw material price, more stable transportation costs, and previously announced price increase, supported operational performance sequentially. More significantly, Q3 results highlight the growing benefit from ongoing productivity improvement initiatives. Total shipments decreased by 2% year over year, excluding Orchids. This reflects a 29% decrease in external shipments of parent roll year over year due to the higher integration and the closure of our two paper machines in Toronto, which we moved 44,000 tons annually. These factors were partially offset by a 6% increase in shipments of converted product, due to the increased demand of our target market segment, and long term contracts with key strategic customers. As we have mentioned in the past, we continue to use additional subcontracting to supply our volume requirements, which has a negative impact on margin and profitability. The capital investment and business plan we are executing, are focused on addressing this situation. The addition of Orchids facility in our platform, will optimize our logistic network and geographical positioning, and reduce subcontracting costs in the future. Our average selling price increased 8% year over year in the third quarter. This reflects a combination of price increase announced in the second half of 2018, a favorable sales mix, and the depreciation of the Canadian dollar. On a sequential basis, the average selling price decreased by 1%, largely due to the appreciation of the Canadian dollar. As we have previously mentioned, a price increase of up to 8% in the away-from-home segment across North America, was announced effective June 1. This increase benefited third quarter results. The European Boxboard operation generated solid third quarter results. Sales increased 22% compared to last year, due to the acquisition of Barcelona Cartonboard at the end of 2018, and better volume on the same plant basis. This was offset by a less favorable average selling price and 4% appreciation of the Canadian dollar. On a year over year basis, the average Q3 selling price decreased in both Euro and Canadian dollar. This reflected the stronger Canadian dollar, the higher proportion of recycled products sold following the acquisition of Barcelona Cartonboard, price decrease due to market softness, and a less favorable geographical sales mix. The average Q3 selling price of recycled Boxboard, decreased by €13 or 3% year over year, while the average selling price of Virgin Boxboard increased by €14 or 2%. On a sequential basis, the 5% decrease in sales, reflects the lower average selling price, a decrease in volume related to the usual seasonality in the quarter, and a stronger Canadian dollar. Adjusted EBITDA decreased by $5 million, or 17% from Q2 levels, primarily due to the usual Q3 seasonality, and the higher costs related to the production downtime taken as a result. These were partially offset by lower raw material costs, and a slightly higher energy credit in the current period. Year over year EBITDAA increased by $6 million, as the impact of lower average selling price on the same plant basis, was more than offset by the benefit from the acquisition of Barcelona and lower raw material costs. Third quarter sales in the specialty product were $176 million, down 9% from $193 million in Q2. This was largely due to the lower prices in the recovery sub-segment, lower volume in consumer packaging, and the closure of one of our specialty mills late in the second quarter. Q3 EBITDA of $14 million was 1 million above Q2 levels. This reflects a sequential improvement in industrial packaging as a result of reduced operating costs. Conversely, consumer product generated lower results that were largely due to lower volumes in the flexible and molded pulp sub-segment. A fire at the Rockingham, North Carolina molded pulp plant in mid-September, resulted in an eight week closure. This shutdown will have a slight impact on Q4 results, as operations were restarted at the beginning of November. Our packaging activity generated an EBITDA margin of 13.8% in the quarter, versus 11.1% in Q2, and 12.2 last year. The recovered paper market remains difficult, with quarterly average selling price continuing to decline from Q2. Efforts to review our supply, collection and operating costs, has helped to offset the impact of the sequential deteriorating spread. I will now pass the call to Allan who will discuss the main highlights of our third quarter financial performance. Allan?
Allan Hogg: Yes. Thank you, Mario, and good morning everyone. So I will begin with an overview of our key KPIs on Slide 15. Our third quarter shipments increased by 1.2% from Q2. This was driven by Containerboard and tissue, where shipments increased by 4% sequentially in both cases, reflecting seasonal demand trends. Shipment levels marginally decreased in Boxboard Europe following the usual seasonal softness in the third quarter for these markets. The quarter capacity utilization rate of 93% was stable sequentially, and increased 2% compared to last year. On an LTM basis, working capital came in at 10.3% of sales, while return on assets stood at 11.3%. Moving now to sales as detailed on Slides 16 and 17, on a year over year basis, third quarter sales increased by $89 million or 8%. This reflects the contributions from recent business acquisitions in tissue, Boxboard Europe, and specialty products, in addition to improvements in pricing and sales mix in tissue and higher volumes in Containerboard and European Boxboard. While exchange rates were favorable for our North American operations, they were negative for European results for a net negative impact on the quarter. Offsetting these benefits, were lower volumes in tissue, and lower average selling price in Containerboard. As has been the case in recent quarters, recovery activities negatively impacted sales due to lower recycled material pricing. Sequentially, Q3 sales decreased moderately by 11 million or 1%, as the benefits of higher seasonal volumes in Containerboard and tissue, were partly offset by less favorable pricing and mix in all segments, except specialty products. Lower volume in Boxboard Europe and specialty products, lower sales from recovery activities, and the unfavorable exchange rate, were also offsetting factors. Moving now to operating income and adjusted EBITDA. As highlighted on Slide 18, Q3 adjusted EBITDA of $161 million, increased $24 million from prior year level. Results benefited from a stronger performance on the tissue segment, and European Boxboard. Sequentially, Q3 adjusted EBITDA increased by $5 million, as shown on Slide 19. This was largely the result of stronger performances in tissue papers and Containerboard. Take note once again that the impact of IFRS 16 accounting for leases, contributed $7 million to EBITDA in the quarter, and $22 million in the first nine months of 2019. Please refer to Slide 30 for supplemental information. Slide 20 and 21 illustrate the year over year sequential volumes, our Q3 earnings per share, and the reconciliation with specific items that affected our quarterly results. As reported, earnings per share were $0.74 in the third quarter, compared to reported EPS of $0.38 last year. Both periods included specific items. On an adjusted basis, EPS decreased by $0.10, compared to last year results. Higher operating results were offset by higher depreciation and financing expenses. The change in depreciation expense, reflects 2018 business acquisitions and capital projects put in operations, and the adoption of IFRS 16 standard for leases. Financing expenses also increased due to our IFRS 16, and also to the - due to the fair value accretion of CDPQs option in Greenpac, which is accounted for as a liability, as previously disclosed. Slide 22 or 23 illustrate the specific items recorded during the quarter. The main items include, a $52 million net gain on the acquisition of Orchids, following our preliminary purchase price allocation, and we also include $4 million of related transaction costs. A $2 million gain to the sale of a building and land in the Containerboard segment, and a $2 million loss following the sale of specialty products operation in France, and closure of one North American facility in Q2. And also a $7 million unrealized loss on the fair value reevaluation of an option in the Bear Island project. Third quarter adjusted cash flow from operations, increased by $16 million year over year to $108 million. Adjusted free cash flow was significantly higher this year versus 2018, due to lower net CapEx paid in the period. Moving now to our net debt free reconciliation as detailed on Slide 25. Our net debt increased by $216 million in the quarter, reflecting the Orchids acquisition. Before business acquisition and disposal, I would highlight that net debt decreased by 62 million in the quarter. So in mid-September, we completed the acquisition of Orchids for $300 million Canadian. $14 million was previously paid in Q2, in addition to the assumption of debt for $7 million. In conjunction with this, at closing of the transaction, we sold the Mexican assets, which were part of the Orchids acquisition, to Fabrica de Papel for a cash consideration of $19 million, of which 14 was received on closing. Also, during the quarter, we sold a specialty products group interest and two French operations for cash consideration of $10 million, and net debt was also transferred to the acquirer for $5 million. Our net debt leverage ratio stood at 3.7 at the end of the quarter, compared to 3.4 at the end of Q2 and 3.5 at the end of 2018. Again, if we exclude transactions that occurred towards the end of the quarter, this ratio would have been 3.2 times. This, along with other financial ratios and information of our maturities, are detailed on Slide 26. On Slide 27, we provide details about our capital investments year to date on a segment by segment basis. Our annual CapEx spend for 2019 will be less than initially disclosed, and are expected to finish the year at roughly $300 million. I will now pass the call back to Mario, who will wrap up the call with a brief conclusion, before we begin the question period.
Mario Plourde: Thank you, Allan. In summary, we are pleased with our third quarter performance. All of our business segments continue to generate solid results that met expectations. In addition, we made an important strategic move by completing the acquisition of Orchids paper product tissue activities in mid-September. This acquisition is highly synergistic and important part of our US tissue modernization efforts, and will strengthen both the geographic and operational positioning of our tissue platform. The transaction creates value for Cascades, with an expected annual EBITDA contribution of 25 to 30 million in 2020, increasing to approximately 45 million in 2021. Slide 29 through 31 provides an update on the integration of Orchids, which is going according to plan. We can find on a near term outlook for our business segments in Slide 32 of our presentation. Overall, we expect fourth quarter performance from our North American operations, to reflect the softer seasonal demand in the period, and a less favorable exchange rate compared to our recent Q3 performance. Due to the continuing strength of the Containerboard business and the positive momentum in tissue, we are well positioned to generate record annual adjusted EBITDA this year. We have already attained 92% of our full year 2018 results after only nine months. We remain focused on improving operational efficiency and productivity, successfully executing our capital investment plans, and finalizing details for our Bear Island project. We will now be happy to answer your questions. Operator?
Operator: [Foreign language]. Thank you. (Operator instructions). Your first question comes from the line of Adam Josephson with KeyBanc. Please go ahead.
Adam Josephson: Good morning everyone. Thanks very much for taking my questions. I appreciate it. Mario, you commented at the very end of your prepared remarks, that you're still finalizing the details of the Bear Island conversion. You have the unrealized loss on the fair value revaluation. You reduced your CapEx guidance obviously, mostly to remove the Bear Island related spend that you were previously including in that CapEx guidance. Can you just update us on your thought process with respect to that project?
Mario Plourde: Sure. As we highlighted in Q2, the Bear Island project for us is an important project, considering the market right now, and knowing that there's a lot of capacity coming onstream probably in 2021. Obviously, we want to make sure that this project is a good project for us. So we are looking to find uptake partners and also financial partners to support this project. So it takes a little more time. The technical part of the plant is quite well advanced. So, but we still are on track and by Q4, at the end of the year, we'll be able to give you a firm update on where we stand with Bear Island.
Adam Josephson: I appreciate it. Just one follow up on that. You mentioned all the capacity coming on. Has that changed your thought process with respect to the long-term return potential of this project?
Mario Plourde: No, not at all. We think that the Bear Island project is a solid project for Cascades, and it will help us to position ourselves for the future.
Adam Josephson: I appreciate your clarifying that, Mario. And then Mario or Charles, in terms of your sequential guidance on Containerboard, you talked about the potential for sequentially lower volume and price, with the sequential volume decline seemingly above and beyond the lower seasonality in 4Q. Can you just go into a little more detail on that, if you don't mind?
Charles Malo: Yes. I'm just going to start without giving too much detail on the pricing, but the compounded impact of the index movement will have an impact in Q4, and this is what we're reflecting regarding the impact on the pricing. In regards to the volume, as you know, in the Q4, for us there's always a lowering volume on our business, and that's what we're reflecting here, and we're being conservative also. We’re cautiously conservative on the volume aspect from now till the end of the year.
Adam Josephson: And cautious for what reason exactly, Charles?
Charles Malo: Well, the business is still actually - the business is good. It’s still what we see, both in Canada, and also in US for us. Specifically also with the addition of our Piscataway facility that is going very well, and it's contributing, but just regarding the economy. And so we want to be cautious in when we look forward.
Adam Josephson: I appreciate it. And just one last one on the seasonality issue. E-commerce, at least in the US market, has largely eliminated the seasonality. Obviously in years past, November and December used to be quite light from a demand perspective, and that's changed in recent years because of e-com - the growth of e-commerce, such that if you look at the industry data, fourth quarter shipments are really not that much different than the other three. Can you talk about what impact you see e-commerce is having had on that seasonality issue, and what your expectations are for e-commerce, specifically in this fourth quarter?
Charles Malo: Yes. So you're right about the e-commerce. That has flattened. There’s that seasonality. In our product mix, we do have, when compared to the overall, we have a bit more specialty in our mix, whether it’s produce or other (bells) that we have in our mix that can maybe influence a bit more the seasonality in our group. But the point of the e-commerce really flattened the volume quarter after quarter, and we're seeing this also in our group.
Adam Josephson: Thanks very much, Charles.
Operator: Your next question comes from the line of Hamir Patel with CIBC Capital Markets. Your lines is open.
Hamir Patel: Good morning. Charles, can you give us a sense as to how your box shipments fared in the month of October?
Charles Malo: Yes. The month of October, we are seeing good volume in our - most of our regions. And again, I just want to mention that in addition to this, we have our new Piscataway facility that is really adding a positive impact on the overall of our business.
Hamir Patel: Thanks for that. And just a question for Jean-David. Appreciate the 2020 EBITDA guidance for Orchids. How should we think about the ramp up curve to deliver the 25 to 30 million US next year?
Jean-David Tardif: We're confident right now about especially borrowing well, the modification that we're going to do. So we see this as more toward the second half of 2020. But it's still on the right track, I can say.
Mario Plourde: The other piece of it, it's all related to logistics and the transfer of sub-contracting. So that will start really shortly. So that should ramp up quite - in the first half of the year.
Jean-David Tardif: Yes. We already started to bring some outsourcing back into the Orchids facility. And also the plant closure that we announced last week or two weeks ago, will create significant volume also to the Orchids facility in the first half of the year.
Mario Plourde: And reduce fixed cost at the same time, so.
Jean-David Tardif: Yes.
Mario Plourde: And logistics cost.
Jean-David Tardif: After the second quarter.
Hamir Patel: Okay, great. Thanks. That’s helpful. And Allan, any indication yet of what CapEx would be in 2020, both if you went ahead with Bear Island and if you didn’t?
Mario Plourde: So far, Allan has mentioned around $300 million. If we go - we would say, we go ahead with Bear Island, we probably end up at 330, 335, something like this. But it all depends on the decision of Bear Island in 2020, either 2019.
Hamir Patel: Great. Thanks, Mario. That’s all I had. I’ll turn it over.
Operator: Your next question comes from the line of Sean Steuart with TD Securities. Your line is open.
Sean Steuart: Thanks. Good morning. Just one question. Wanted your broader thinking on recycle fiber costs. It feels like we're going to be in a lower cost environment for longer, and I'm wondering how that informs your long-term capital deployment decisions, what type of long-term OCC price are you assuming for your long-term plans, and how does that affect, not just Bear Island thinking, but broader thoughts going forward on capital deployment?
Mario Plourde: Yes. Well, as you know, Sean, we always were recycle. 82% of what we produce is recycled. So for us, it hasn’t changed our long term view. We will remain mainly focused on recycle. Obviously today benefits our business, and all the business segments, so. But we might be a little more precise in what we will recycle, and the quality of the material we’ll recycle. So as we are doing today, we're reviewing all the network recovery and recycling activity, and just making sure that they support the business. They’re there to complement what we do with the paper mills. And so, yes. We will keep on expanding and using recycled material in the future.
Sean Steuart: Okay. The rest of my questions have been answered. Thanks very much.
Operator: Your next question comes from a lot of Paul Quinn with RBC. Your line is open.
Paul Quinn: Yes. Thanks very much. Morning guys. Just a follow up question on timing of Bear Island. If you made that decision by the end of the year, is that coming up in 2022 now?
Mario Plourde: Yes.
Paul Quinn: Okay.
Mario Plourde: Yes. No, no, but I said yes. The question was short. The answer was short. Yes. Will it come in 2022? Yes.
Paul Quinn: Okay. Maybe I could follow up. First half or back half?
Charles Malo: It takes 24 months to go, just because of the timing of the equipment coming in and to do all the modification, the deployment and things like that. And that's what we're saying that …
Mario Plourde: Let's see if we place an order by year end, probably first quarter of 2022 will be the start.
Paul Quinn: Okay, that’s helpful. And then just overall, I mean there's a notion out there that e-commerce gets started in Canada a little bit later than in the US. And you get the majority of your Containerboard assets in Canada. Do you see that as a tailwind for e-commerce across Canada for your Containerboard group?
Charles Malo: The - I mean, we do have both sides of the business. First of all, our converting mainly in Canada, but we also sell to outside, independent customers and are also using the e-commerce. So for us, we see the benefits on the overall group.
Paul Quinn: Okay. That’s helpful. And then just lastly, just on the unplanned downtime at Greenpac, what happened and is it fixed?
Charles Malo: Yes. it’s an issue, a one-time issue that we have the non-predictable on our side, but yes, it's fixed and we should not see something like that happen in the future. Okay. And then I guess lastly, just on tissue. Besides the integration of Orchids, what's the priority within tissue?
Jean-David Tardif: Definitively we have a major turnaround plan across all the facilities. So on the West Coast, as you know, we lost a significant amount of money last year. So we're putting on (measures). So it's going really well there. But also, there's also the subcontracting that we're bringing back internally and other initiatives in fixed cost reduction, profitability improvements, et cetera, through the organization.
Paul Quinn: All right. That’s all I had. Thanks very much. Best of luck.
Operator: (Operator instructions). Your next question comes from the line of Keith Howlett with Desjardins. Your line is open.
Keith Howlett: Yes. I had some questions on the Orchids plan. You mentioned you're converting it from QRT to conventional. I was just wondering, why that was and what that's to achieve?
Jean-David Tardif: Right now, we have a lot of volume in conventional paper, a lot of outsourcing, as I said earlier. So we want to fill this mill. We made really significant improvement on the QRT technology only after a few months. So we want to run the machine and the mill at full capacity short term, and we’ll take time to develop the QRT technology and the product, improve the product over time. But it was important for us to get the 36,000 tons and the 5 million cases capacity of that mill. So that's why we're putting conventional paper into this short term. But we will be able to grow the QRT business later on.
Keith Howlett: And what is - is there a future ongoing relationship with Fabrica, or does that end with the sale of assets to them?
Jean-David Tardif: No. we maintain - we renegotiated the supply agreement with them. So the volume is the same as it was before. We just renegotiate the terms of it. And that’s why they buy back the asset. But the volume and tons were in cases are the same as it was.
Keith Howlett: Then just wondering on transportation costs. I think it was mentioned that there have been improvement or - in transportation in Q3 in tissue. Does that relate to your internal restructuring of facilities, or is the market improved for transport services?
Charles Malo: It’s mainly due to improvement in our system by moving less cases between our plants, and adding better logistics to support our customers from the right mill, mainly. Yes.
Keith Howlett: And then I just had a question on the European roll pack business. I think - as I understand, you also operate a joint venture in that - in a similar business in North America. Is there any change in view on the North American business?
Luc Langevin: No. This is Luc, Keith. No, we have no - it doesn’t impact it at all our vision with - for the North American assets.
Keith Howlett: And then just finally on the recovery business, in terms of the business model going forward, are you sort of trying to evolve that to a service business, or is it still sort of a margin business, or what's the outlook there?
Luc Langevin: Yes. This - the reflection and the vision for the recovery business was actually revised four years ago. And it was already our intention to focus more of this business towards supplying our mills, and growing this business to support the global growth plan of Cascades. So we're just going to continue what we have already initiated over the last few years. So definitely, the future investment, if they are in this business, will be there to support the growth of Cascades.
Keith Howlett: So is that business sort of stable now and improving, or how is it?
Luc Langevin: Yes. We- as I think Mario mentioned, obviously we hopefully - we believe that with the current price we see, we're getting close to - above on price. So far, we have been able to offset the sequential decrease from last quarter. So yes, the situation is improving. As I said, I guess the last quarter, it involve for us to renegotiate all the agreement we have with the suppliers, and review all the routing we have. So we have obviously to adapt the business model to the new structure. It’s a significant change from the about $100 we had last years to $38 now. But the moves and the decision are already in place, and obviously we have some long-term agreement that we have to respect. But every times we have an opportunity to renegotiate, we do.
Keith Howlett: Thank you.
Operator: Yes next question comes from the line of Zachary Evershed with National Bank Financial. Your line is open.
Zachary Evershed: Good morning everyone. Congrats on the quarter. I was hoping you could walk me through in terms of the thought process on the topline and margin, the whole process, the shutdown at the two facilities in March, and then the rebalancing to the rest of the tissue network, how quickly that will go, and what we can see on the financial statements from that.
Allan Hogg: In tissue particularly?
Zachary Evershed: Yes, please.
Mario Plourde: You mean in 2020 or?
Zachary Evershed: Yes. The shutdown in the Kingman and Waterford plants in 2020.
Mario Plourde:
Jean-David Tardif: Okay. So we announced the shutdown for end of March. So it’s going to take time to integrate all that volume in the other mill. But right now, we see probably 10 million fixed cost reduction by shutting down these two facilities. And the volume, we have the open capacity into the Orchids platform. And also - it's also related to the other investment that we announced late last year in Wagram, North Carolina. So both away from home and the customer products market are benefiting from those recent investments.
Allan Hogg: So Zachary, combined with the Orchids platform, as we said, our target is to come back to 10, 12% EBITDA margin as soon as we can. So that’s the plan, and these are steps that we're taking to move towards that as soon as we can next year and the year after.
Zachary Evershed: That’s great. And just in terms of the thinking on that, because the capacity is available, it could be - the network could be rebalanced the next day essentially. There’s not going to be a long time to ramp up this move to capacity?
Jean-David Tardif: No, not really. We're ramping up Orchids’ volume a little bit, but all in all, there is no major ramp up.
Zachary Evershed: Understood. Thank you. And then just one last one for me. I’m curious to get your thoughts on China's impact on recycled fiber, and how you see that evolving over the coming years.
Luc Langevin: Yes. This is Luc talking. Last year or two ago, it was announced by China that by 2020, it would be pretty much out of the recycle market. And what we hear is that if they stick to their plan, and we not only we see that the Chinese market is going down, but we see also the other markets are picking more typical, the other export market or typical. So it's very quiet now for exports and that's probably why we've seen an additional reduction in the overseas earlier this week. There’s plenty of material in the market.
Zachary Evershed: Beauty. Thank you very much. that's it for me
Operator: Your next question comes from the line of Keith Howlett with Desjardins. Your line is open.
Keith Howlett: Yes. So wonder if you’d just update us on the St. Helens and Scappoose manufacturing and converting operations.
Luc Langevin: Yes. And also we made original improvement in those two facilities. So the St. Helen facility is making good profit these days. The two together are now breakeven in a month, two months almost. So we are continuing our improvement plan on that plant.
Keith Howlett: Thank you.
Operator: Thank you. There are no further questions at this time. Mr. Plourde, please continue.
Mario Plourde: Thank you everyone for being on the call today and looking forward to talk to you for our Q4 results. Have a good day. Thank you.
Operator: [Foreign language]. Thank you, ladies and gentlemen. This concludes today's conference call. You may now disconnect.